Operator: Welcome to the Luxfer Group's Fourth Quarter Conference Call. We will first hear from Luxfer Chief Executive, Brian Purves, who will provide a market overview for the quarter; followed by Group Financial Director, Andy Beaden, who will review the financial performance for the quarter and year-to-date. Brian will then return to sum up and offer an outlook. After that, Brian and Andy will be glad to take your questions. [Operator Instructions] Thank you for your cooperation. We will now turn the call over to Brian Purves. 
Brian Purves: Thank you. Good morning, ladies and gentlemen, and welcome to the conference call on the fourth quarter of 2014 and the full year results. As usual, I'll take you through the summary results on the market situation, and then Andy will go through the detailed financials. 
 On the fourth slide, looking at quarter 4, trading performance during the fourth quarter was mixed, with the positive being that the important SCBA sector finished strongly, neutral on the weak level of demand from European sectors, generally and for U.S. military powders, and negative on alternative fuel or AF, despite the commencement of sales of our 26-inch Type 4 cylinder out of the Utah facility. 
 With the contribution from our new acquisition, our overall revenue was 7% up on quarter 4 2013. But with sales elsewhere below planned, incremental costs from added capacity on a weaker mix of sales, the Q4 trading result remained well below 2013, although prior to impairments broadly as expected. 
 Given a specific issue with one customer on the generally deteriorated outlook for AF, however, we felt it necessary to reflect some impairment of AF working capital and so the reported operating profit ended up worse than indicated. 
 Some good work around our tax charges, however, meant that adjusted fully diluted EPS of $0.32 was in line with expectations. 
 With that said, we would work to reduce working capital, and quarter 4 cash generation was good despite the deferment of a year-end receivable.
 Turning to Slide 5, the disruption in the SCBA market was felt almost up to year end, with MSA only announcing the approval for their G1 equipment on November 21. Some smaller companies in this field still do not have approvals, but the market is now being serviced by the 2 biggest companies and so has returned to near normality, albeit very late in the year. 
 While well below our 2013 level, sales of alternative fuel products increased by $2 million over quarter 3 to $7 million. The biggest change that took place during the quarter, however, was the collapse in the price of oil from $90 a barrel to only $50. This and the delays experienced by our virtual pipeline customer in Australia prompted us to reconsider the carrying value of certain receivables and inventory at the end of the year, taking a $3.1 million impairment.
 On Slide 6, looking at the full year. Sales revenue is 3% up on 2013, but all of this comes from acquisitions. Elsewhere, revenue overall is flat. But with the weaker mix of sales, certain key markets having suffered from disruption almost throughout the year on higher costs. The cost increase is split between additional capacity, both internally generated and by acquisition, increased development in engineering activity and general inflation. As a consequence, trading profit is, as has been evident through most of the year, well down on 2013. 
 As the quarterly EPS was in line with market expectation, so was the full year fully diluted EPS of $1.11, although well below our original expectations for the year.
 Turning to Slide 7. While the big issue in cylinders during the early part of the year was the disruption in the SCBA market, progressively, that sector did improve, but the AF sector deteriorated, such that our AF business units were in losses during the second half, exacerbated by the year-end impairments. Higher sales of aluminum cylinders, typically at lower margins, could not compensate. 
 Our specialty materials Elektron Division was relatively stable over the year, with low demand for military powders being offset by the acquisition of Luxfer Magtech. Although not yet generating any sales, we felt that we made good progress on several of our strategic projects.
 Slide 8. As previously reported, the acquisition of Truetech and Innotech closed at the end of July. Performance at the now Luxfer Magtech business, since the acquisition, is broadly in line with expectations. We had, however, set the owners a hurdle of full year 2014 profit, that is including the 7-month pre-acquisition to trigger $5 million of the deferred consideration. This target was narrowly missed, so that payment will not now happen. 
 Our status at the time of the acquisition, over the medium term, we hope to grow the business outside of North America, which currently accounts for over 95% of sales. We have made progress with modifying our zirconia-based absorption technology, and hope to be able to justify, undertaking First Article Testing on the material in one of Magtech's decontamination products later in 2015.
 Turning now to the sales revenue movements. Slides 9 and 10 track from the 2013 results at the top of the schedule, through to the 2014 result at the bottom. In Elektron, the price of cerium is now right back where it was at the start of 2010 and so the cerium surcharge has disappeared from our pricing structure. Smaller surcharges were other rare earth, where the price has not yet fully dropped back remain. Stripping out the surcharge and also exchange rate movements, sales in the quarter are up by 60.5%, but this is entirely due to the acquisition. Underlying sales are only up 0.3% on prior year. 
 The weakness of the countermeasure flares market is a key factor. Since mid-October, the customer facility where the fatal accident took place earlier this year, is now fully capable once more, but sales remain depressed through Q4, although the order book did improve somewhat. Year-on-year, several markets, including aerospace alloys and magnesium photo-engraving plate are up. Our magnesium recycling business is also up, although the margins there are much lower than our average. 
 Overall, the divisional revenues are up by 5%, despite small declines in some zirconium sectors and the weaker military sales. The dilution is flat year-on-year, however, once surcharge movements and the acquisition are stripped out. 
 On Slide 10, the cylinder business continued to have difficulties in quarter 4, increasingly with the AF business stream. Overall, Q4 revenues were 1.4% up on 2013, but once the net effect of adverse exchange rate movements and the Luxfer Utah acquisition are stripped out, the increase becomes 3.5%. 
 Over the year, revenue is down 1% on prior year. But stripping out the exchange rate movements and the acquisition, net sales were down by 2.6%. 
 Behind these figures, aluminum cylinder sales rose by 4%. So it is clear that the problem lay in composites, with the AF sector being the biggest element. AF sales in the year were $37 million. $13 million down on prior year and at one stage we had expected and planned for significant growth in 2014. 
 On Slide 11, we look at some of our strategic growth projects. On magnesium alloys with several aircraft, we continue to supply material and technical data to a number of aerospace manufacturers. 
 While seat manufacturers are now allowed to make use of our alloys under special conditions, we are aware that the change to the aerospace designer's rule book to formally accept the use of certain magnesium alloys has been proposed and is in progress. Once this is done, it will hopefully give additional comfort to seat designers. 
 We do expect that prototype seat designs incorporating our Elektron alloys will be visible at the Aircraft Interiors Expo in Hamburg later this month -- sorry, next month. 
 On the Synermag bioabsorbable alloy, recruitment of patients for the latest in-body trials to be conducted by our biotechnology partner is complete. And the data to support their request for CE approval should start to become available this year. 
 On Slide 12, under SmartFlow, we have made good progress, during the year on SmartFlow, although we are considerably behind our original targets, the design of the SmartFlow module is now frozen and the medical device is in testing to support a request for CE approval later this year. 
 On alternative fuel cylinders, our 26-inch neck-mounted Type 4 CNG cylinder, is now in the market. We have several customers taking product, and we have made our first significant sales. The conversion of class 8 trucks to CNG, however, has stalled with the fall in the oil price and it is our view that the market will fall back in 2015. We will retain the capability to service the reduced market and to respond to the upturn when oil prices increase, as they surely will. But meantime, we have lowered our expectations and expect to cut costs back. 
 Both for vehicle applications and the bulk transport there is increasing interest in hydrogen systems, where we feel that we have a unique product offering. In bulk gas transport, demand from the oil and gas industry itself has tailed off, but otherwise, interest in bulk gas-containment modules remain strong. During the second half of 2014, we developed a number of alternative packages to improve our competitive position. The market is contract-based and while we hope to win a greater proportion of repeat business in 2015 than we have had to date, we still need to win several new contracts in order to make sense of our capacity. 
 Andy Beaden will now take you through some of the details. 
Andrew Beaden: Thank you, Brian, and welcome, everyone, to the call. Brian covered the divisional sales analysis, and my first slide, Slide 14, shows how that consolidates into the group revenue changes for Q4 and the full year. 
 Total revenue for Q4 2014 was $123.4 million, with net revenue of $123.1 million, and the rare earth chemical surcharge was therefore only $0.3 million. 
 Luxfer Magtech had another good quarter, achieving $8.2 million of sales, and Luxfer Utah achieved $0.9 million of sales. The group's other revenues for Q4 were up 2% or $2.4 million, excluding surcharge changes and adjusting out a negative $3.4 million FX translation difference.
 For the full year 2014, underlying net revenue, adjusted for translation and acquisitions, was down 1.4%, with Elektron flat, and Gas Cylinders down 2.6%. The bigger impact on 2014 was the shift in the mix of sales in Gas Cylinders, with composite cylinders sales well down when compared to 2013, and aluminum cylinders sales slightly up. I will come back to the impact on profits of these shifts, along with other impacts on profits in a few minutes.
 Slide 15 shows the trend in sales Q4 2014 by geographic regions. You can see the largest variances are North America has benefited from the Luxfer Magtech acquisition, along with some improvements in self-contained breathing apparatus sales and despite weaker U.S. countermeasure powder sales. Europe is significantly down, impacted by the weaker economic activity in mainland industrial Europe, particularly general automotive, bus and industrial gas markets. 
 Turning to the profit and adjusted EBITDA results on Slide 16. The Q4 2014 group trading profit was $10.7 million versus $15 million for Q4 2013. Elektron's result, at $9.8 million, was slightly weaker than last year's Q4 of $10.2 million but up on the prior Q3 2014. Luxfer Magtech offsetting weakness in the countermeasure sales and zirconium products. Adjusted EBITDA for Elektron was $12.6 million, so again, just behind the prior year of $12.9 million.
 Gas Cylinders' trading profit for the fourth quarter of 2014 was $0.9 million, a disappointing decrease from the $4.8 million trading profit for the fourth quarter of 2013. Included in the Q4 2014 results were asset write-downs of $3.1 million. This includes a provision of $2 million to impair the $8.5 million receivable due on the large virtual pipeline contract. That was the outstanding balance on that contract where the customer had delays in commissioning its pipeline setup. This led to its having cash flow difficulties and we are working with the customer on ways to resolve this issue going forward, the alternatives being we recover the modules and sell them or lease them. 
 We also have $1.1 million of inventory write-downs in our AF business on obsolete inventories. The new Luxfer Utah AF facility did produce products in Q4, but demand was weaker than expected, impacted more directly by the falling oil price, reducing truck conversion rates to CNG, and so the facility still made a small loss. In total, 2014 acquisitions contributed $1.3 million to Q4 trading profits, being the profit from Luxfer Magtech less the start-up losses at Luxfer Utah. 
 The group's trading profit margin fell to return on sales of 8.7% from the 12.9%, in Q4 2013, as a result of the weak Gas Cylinders profit. The 2014 average being 9.2%. The Q4 2014 group adjusted EBITDA was $15.8 million compared to $19.8 million for Q4 last year. This means the 2014 EBITDA was down to $64.8 million versus $76.6 million for 2013, as a result of the weaker Gas Cylinders performance. The Elektron Division's adjusted EBITDA for 2014 was $50.1 million, slightly up on 2013, helped by the benefits of Luxfer Magtech, which offset weaknesses in the military powders market.
 So a comparison of future modeling in the appendices, Slide 32, there are reconciliations by quarter for each division between their trading profit and adjusted EBITDA. The delta between trading profit and adjusted EBITDA for 2014 was exactly $20 million. The guidance, I expect the full year 2015 for this delta to rise to between $23 million and $24 million as a result of the amortization of intangibles on the acquisition of Luxfer Magtech, high depreciation and the amortization of equity award charges.
 The next 3 slides bridge the trading profit results from 2013 to 2014, by group and then by division. The group bridge, Slide 17, shows the impact of the reduced volumes and negative mix changes in sales, mainly in the Gas Cylinders Division. We have estimated these trading variances have a $10 million negative impact that includes the impact of underutilization of the composite cylinder facilities, as well as a pure margin loss from lower sales of those products. 
 I have also broken out the AF asset impairments of $3.1 million, and the benefit of the acquisitions in total is $1.7 million. Luxfer Magtech, having $2.9 million, but Luxfer Utah having $1.2 million of startup costs. Other major variances are the increase in depreciation charges of $1.7 million and the higher employment and similar costs of $1.7 million, which was in the Elektron Division.
 Slide 18 shows the same breakdown but just for the Elektron Division. 
 And Slide 19 shows the same analysis, but just for the Gas Cylinders Division.
 Turning to the full income statement on Slide 20. Gross margin was also lower, with Q4 2014 at 22.8% versus 25.9% for last year. This reflects the impairment to the working capital in the AF businesses in the Gas Cylinders Division. Distribution cost, that's $1.8 million for Q4 2014, were consistent with Q4 2013. Other quarters in 2014 have been higher, mainly as a result of changes in the sales mix for those quarters. 
 Administrative expenses were $15.6 million versus $13.2 million. The majority of the increase, $1.7 million, relates to acquisitions, including higher amortization cost of intangibles. Under IFRS, the administrative expenses also include sales, marketing and development costs. And therefore, this line is also impacted by overhead invested in the longer-term strategic product development projects. 
 Trading profit was $10.7 million for Q4 2014, as previously explained. In the quarter, we have charged $2.5 million to restructuring and other expenses. 
 During the year, we have implemented some headcount saving in both the Gas Cylinders Division and the magnesium powders business in response to weaker sales. In the quarter, we have booked a further $0.5 million of restructuring costs. However, we have also incurred $2 million of costs in relation to an historical environmental issue at one of our Elektron businesses, where we discovered contaminated sludge in an effluent pond when clearing it out. The issue was fully remediated at the same time to minimize any future costs, and we believe it related to contaminated raw materials from 15 to 25 years ago. 
 For the full year, we have, therefore, charged $1.7 million of rationalization costs, $0.2 million of amortized IPO-related costs, and the $.2 million environmental charge, all as operating exceptional items, a total of $3.9 million under restructuring and other costs. Operating profits, which is after restructuring and other exceptional items, was therefore $8.2 million to Q4 versus $13.2 million for Q4 2013. 
 Below operating profits in Q4, we have an IFRS exceptional credit of $6.3 million for the remeasurement of contingent consideration, payable under the acquisitions made in 2014. Most of this relates to Luxfer Magtech, where a 2014 adjusted trading profit target was just missed, reducing the expected consideration payable on that field by $5 million, which would have been payable in 2015. 
 For the year, we have also had previously, under IFRS, charges of $1.8 million of acquisitions costs charged in the same line item, so the net total, 2014 full year credit is shown as $4.5 million. Below this, I have broken out the elements of the IFRS finance charges being for the full year as follows: Net interest, $6.1 million, which is actually on the actual financial debt in 2014, slightly up with higher borrowing and less cash than in 2013. And there is the notional IAS 19 retirement benefit finance charge, which was $2.7 million, $1.1 million lower than 2013, which is a result of lower discount rates; plus a new line item relating to the notional interest cost of $0.3 million relating to the IFRS unwinding of the discounted deferred consideration on the Luxfer Utah and Luxfer Magtech acquisitions, and this is effectively part of the overall acquisition costs. 
 It is worth noting, we strip out of our adjusted net income figures the restructuring costs, the acquisition and disposal items and the IAS 19 finance charges as shown in the reconciliations in the appendices to these slides. The IFRS effective tax rate was 20% for the year versus 27% last year. But this is also distorted by some exceptional items, with the acquisition and disposal items not being directly taxable. The adjusted underlying tax rate was 24%, still lower than expected as a result of better utilization of U.K. tax losses. The longer-term tax rate guidance is still 27%. 
 Net income for Q4 2014 was $11.8 million compared to $8.8 million for Q4 2013, where adjusted for exceptional items and excluding the IAS finance cost, it was $8.6 million compared to $11.1 million for Q4 2014. 
 The full year net income for 2014 was therefore $29.2 million, down $4.8 million on 2013. The adjusted net income for 2014 was $30.9 million, down $8.9 million on '13. 
 We missed a number of LTIP equity incentive targets as a result of the weak Gas Cylinders performance, and so the level of fully diluted shares outstanding also fell in Q4, down to 27.6 million shares. 
 Adjusting for this, the fully diluted adjusted EPS was, therefore, $1.11 for 2014, and $0.32 for Q4 2014. The statutory IFRS EPS was, in fact, $1.09 for the basic share count in 2014, but was $0.44 unadjusted for Q4, being helped significantly by the one-off exceptional gains on acquisitions and the accompanying lower tax rates. Hence we feel that the management's adjusted EPS is a more appropriate earnings indicator to use for underlying performance, being the $1.11. 
 The next slide, #21, shows our consolidated balance sheet. Overall, invested capital in the operating businesses was $284.8 million, net of the pension deficits of $90.9 million as at the 30th of December 2014. The pension deficits have increased $23.3 million from $67.6 million at the end of 2013. This is mainly a result of a reduction in the discount rate used to value the long-term liabilities. This is based on AA corporate bond yields, which has fallen materially in 2014. For example, the U.K. rate fell from 4.5% to 3.5%. 
 The pension impact plus the translation impact of the stronger U.S. dollar on non-U.S. assets, has led to net assets or shareholders' equity of the group to fall to $175.4 million. We have separated out on the slide the acquisitions to show their impact on the balance sheet. 
 Net debt, debt minus cash, was $106.8 million. The main increase, in 2014, a result of the Luxfer Magtech acquisition being funded via debt. As we reported in Q3, we issued $25 million of new loan notes via the Prudential Insurance Company of America at 3.67%, maturing 2021, and the balance is funded by the bank facility, which matures in 2019. 
 Turning to cash flow on Slide 22. The operating cash flows in Q4 2014 were a positive $16 million, up on Q4 2013's positive $7.3 million. Much improved from earlier in the year as a result of reductions in working capital, particularly inventories. 
 We have, still owe the $8.5 million from the virtual pipeline contracts. Given this cash flow strain, it was pleasing that we had our best operating cash flow quarter in 2 years. In general, working capital remains higher than planned due to excess inventory caused by the disruption in demand in various European and U.S. markets. Actions will continue in 2015, to reduce working capital further. Investment cash flows were a net spend of $7.3 million in the quarter. We invested $13.3 million in Q4 2013. 
 CapEx in property, plant and equipment at $6.3 million, have been trimmed back from earlier guidance to help conserve cash and was well below the $10 million for Q4 2013. Other investments spend was a net $1 million. 
 Cash flow before financing was, therefore, an inflow of $8.7 million, again, the best quarter for several years. After paying dividends and net interest of $4.3 million, we repaid bank debt of $4.7 million. Cash at the end of the quarter was, therefore, $14.6 million. 
 For the year, we generated $23 million of operating cash flows, down on the $37.1 million for 2013, as a result of lower profit and the increased working capital. We reinvested this cash and borrowed to pay for the acquisitions made in 2014. The net cash spent on acquisitions was $58 million, mainly being Luxfer Magtech. We utilized $14 million of our cash balances in the year to help fund dividends and the interest payments. 
 The next slide shows return on invested capital. The lower profits in the Gas Cylinders Division and a higher working capital have impacted both the numerator and the denominator in the calculation. Acquisitions also initially dilute the calculation. The ratio being low for the current businesses at 14% after-tax for the quarter. 
 Thank you. I will now hand you back to Brian to sum up. 
Brian Purves: Thank you, Andy. Turn to Slide 25, summarizing quarter 4, our Cylinder business continued to struggle, although it was good to see the breathing apparatus sector returning to near normality at the end of the quarter. 
 Our major issue in cylinders is now the AF market, where our sales have been below planned and the outlook for the sector has deteriorated with the collapse on the price of oil. Impairments of inventories and the receivables damaged the Q4 profitability, as did the focus on stock reduction, which did, however, help our cash generation. 
 The specialty material side of the group did well, despite continued weakness in European automotive catalysis and in the U.S. Military market. Within the division, our new acquisition is performing as expected. Overall, our trading result was below expectations because of the impairments. The lower tax charge brought EPS back into line. 
 On Slide 26, summarizing the full year. Our Cylinder business struggled all year, firstly with the SCBA regulatory delays, but latterly, with weak AF sales. The Superform business, while still a small component of the group, has had record sales on tooling in 2014. Generally, we made progress in the Elektron, but results were held back by the particular weakness of the countermeasure flare market, not helped by the accident at a customer facility that affected their capacity for much of the year. Overall, we are certainly unhappy with the result for the year, but we can reasonably expect some of the headwinds that we experienced in 2014 to recede in 2015. 
 So turning to the outlook on Slide 27. As we enter 2015, the order book for military flares was looking better and has done for some time and we still believe that sales will recover somewhat from the low point of 2014. 
 The U.S. Military issued a new 5-year solicitation towards the end of 2014, and we were pleased to retain our position as sole supplier of ultra-fine magnesium powders for the U.S. military's core requirements. 
 We expect the Luxfer Magtech business to contribute well during 2015, and we hope to be able to justify undertaking First Article Testing of our zirconium sorption materials for inclusion in one of Luxfer Magtech's decontamination products. While some smaller players are still awaiting SCBA approvals, that market is now relatively back to normal, and we can hope that the growth that had been predicted for 2014 before the regulatory disruption will now appear. While we commenced sales of our 26-inch Type 4 cylinder during quarter 4, the outlook for conversions to CNG in the North American heavy-duty truck market has been damaged by the fall in the oil price. While CNG does remain cheaper than diesel, the narrowed margin means that the lengthened payback on the cost of conversion will cause many operators to defer making the change. 
 The oil and gas industry has already cut back on much exploration and on some production. Accordingly, we must expect demand from that sector for bulk gas modules to be depressed. On the other hand, interest from utility companies and logistics companies in bulk gas transportation remains strong globally, and we believe that the demand for CNG-powered buses and trash trucks, may well be largely unaffected, given the greater focus on the environmental benefits. 
 The Superform is predicting further strong sales of tooling in 2015. This is good news for future sales of foreign goods, although the long lead times of the contracts for future products, mean that much of the benefit will not come through until, at the earliest, the second half of 2016. 
 Finally, on Slide 28, we remain committed to the AF sector, and believe it will be a strong market in the medium term. But it is difficult to see when the price of oil will recover. Overall, we have to recognize that the near-term outlook for AF demand has deteriorated, and there are some potential competitors yet to commission new plants in North America. 
 Accordingly, we are facing up to the task of cutting costs in our AF business, so as to withstand a likely continuing lower level of demand and increased competition during this period of low oil prices. 
 More generally, we can still see little reason to be optimistic about Eurozone demand, and the continuing decline of the euro is now a significant concern. The current spot rates would be quite damaging to product margins on sales x U.K. into mainland Europe, as a few of our purchases are euro denominated. We are, however, over 60% hedged for 2015. 
 Nevertheless, with some key markets expected to perform better, we believe that we can drive an improvement in the profitability of both divisions over 2014, recognizing that in the case of Cylinders Division, I accept that it is far as available starting point. 
 We will be helped in this objective by cost reduction programs, but these must be done in an orderly way to protect our customers, and so the benefit will be felt only progressively. One objective will certainly be to ensure that all actions are in place and are delivering benefits, well before 2015 year end. 
 After a good start in quarter 4, our program to improve working capital turnover will continue throughout 2015, although the deferred pipeline receivable is a potential risk to be managed. Even if that receivable cannot be collected, and we still have reason to hope that it will be, we believe that we can recover the underlying equipment and realize value to at least the net amount of $6.5 million in the year-end balance sheet. 
 Although, unlikely to contribute much in the way of sales in 2015, we do expect to make further good progress on a number of our strategic projects and still hope to get to the point of commercial launch on our SmartFlow-based Intelligent Oxygen delivery system. 
 While the economic and business environment remains challenging, it is good to enter 2015 with 2 of our long-term key markets returning to growth. And we are well accustomed to finding cost savings in response to difficult situations. 
 Thank you, and we will now take questions. 
Operator: [Operator Instructions] Your first question is from the line of Julian Mitchell, Crédit Suisse 
Julian Mitchell: Just a question on the cylinders business. If you could quantify at all this sort of cost savings you expect to drive in 2015, and whether you think that in Q1 of '15 there's a chance that, that business moves into a loss? 
Brian Purves: Okay. I'll throw a couple of things in there because the switch from the AF businesses, which made a profit in 2013 to making a loss in 2014, is -- is a big, big part of the downturn in the Cylinder business. So I suppose the good news is that it's -- the issue is basically concentrated into one business stream. And I think that we have to target, making at least $4 million or $5 million worth of savings in order to ensure that we get that business stream into an ongoing -- that minimum breakeven situation. So that would be our initial target. And in quarter 1, I don't expect the division to go into losses. I think the AF business stream will continue to make losses in the first quarter but with the SCBA market turning up, I would still hope that we can generate a positive return there and we're certainly counting on that in the context of the full-year improvement that we've given here. 
Julian Mitchell: And then just my follow-up would be on balance sheet usage. When you look at your sort of leverage level today, you obviously did a couple of acquisitions last year. How does the M&A pipeline look today? And how much kind of balance sheet capacity do you think you have to use for acquisitions? 
Brian Purves: Well, we've quite regularly said that both Andy and I are comfortable managing the leverage between 1x and 2x and we're closer to the 2x than we would ideally want to be, so for the moment any significant acquisitions are kind of off our agenda. Of course we are focused on generating cash as fast as possible over the course of the year. So we hope to create -- recreate some headroom in the not too distant future. And I wouldn't like to say we would never do anything, because there are opportunities out there that if they became available, we'd want to find a way to do. But they're certainly not on our agenda at the moment. We're more focused on getting the alternative fuel business back in order and generating cash. 
Operator: [Operator Instructions] Your next question is from the line of Luke Folta, Jefferies. 
Luke Folta: First question is on, I guess, on Cylinders. Can you --  with respect to alternative fuel, I guess, you're saying that you'd have to cut $4 million to $5 million in order for that business to get back to breakeven. Should I be inferring that, that's about the loss that was incurred in the second half? 
Brian Purves: Yes. That's right. If you take out things like the impairment, which are one-off, so the loss would've been bigger than the $4 million or $5 million, but that's including one-off actions that wouldn't necessarily expect to be repeated. But if you take that out then $4 million to $5 million should certainly do the job, again to breakeven. Of course, on the assumption the level of revenue is similar. 
Luke Folta: Right. So that's my next question. If you could just give us some indication how you're thinking about the topline in both the self-contained breathing apparatus market and then in alternative fuels, heading into 2015, I guess, how much of a snapback are we expecting in SCBA? And I took from your comments that we're looking for lower sales of alternative fuels in '15, although improved costs. Is that the right way to think about it? 
Brian Purves: Yes, I think, I wouldn't necessarily say lower sales. I mean, I think, if we're planning our, roughly a basis of about $40 million in alternative fuels, so that's -- we ended up with $37 million in 2014, albeit that the second half was far weaker than the average. So we're still planning on improving on the average that we have in the second half. But certainly, we're no longer thinking in the context of the $75 million that we might have talked about 18 months ago. So basically, drawing our horns in and building a business that will be capable of supporting $40 million of revenue, and at least breaking even on that sort of level, while we see how the market pans out. On the SCBA side, over the last couple of quarters, that did start to perform better. And so we didn't end the year, hugely down.  Obviously, the profile was quite damaging in terms of capacity utilization. But over the course of the year, we wouldn't have ended up hugely down on the SCBA revenues, certainly not globally. But originally, for 2014, we'd hope to see that market growing by 10% or so. And indeed, as you'll recall, we put capacity in it in order to be able to accommodate that. So we do hope that we'll start to see the market growing towards that sort of level again. The underlying reason certainly, in the North American market, are still there. But we believe there is a replacement cycle there from the post 9/11 sales. And so we do hope that we see some of that to start to flow through. Now, both MSA and Scott, who are the 2 biggest players by far are now freely supplying the market. But there are some smaller players out there who still do not have 2013 approved kits. We don't know how that's going to affect the overall market, but it's much, much healthier than it has been for the whole of 2014. 
Operator: [Operator Instructions] We have no questions at this time. Are there any closing remarks? 
Brian Purves: Okay. Well, if that's it, thank you, gentleman and lady. And we will speak to you again in the early May on the first quarter, and give you an update on the outlook for the year at that point. Thank you. Goodbye. 
Operator: An encore recording of this conference call will be available in about 2 hours. Telephone numbers to access the recording will be available on the Luxfer Group website at www.luxfer.com. Thank you. You may now disconnect.